Jost Reinhard: Good afternoon, good morning to everybody. Thank you very much for joining our earnings call for the first quarter of 2024. Bill will start the presentations today with his perspective on our business development and the progress made towards our strategic objectives. Wolfgang will then speak in more detail to the group and divisional performances and comment on the full year outlook. We will then have our Q&A session together with the presidents of our 3 divisions. Before starting, I would like to briefly draw your attention to the cautionary language included in our safe harbor statement. And with that, over to you, Bill.
William Anderson: Thanks, Jost, and thanks to all of you for joining us today as we share our 2024 first quarter results. This call comes about 70 days after our comprehensive strategic update in March. So today, I'll be focusing my remarks on our performance, on the progress that we've made in each of the focus areas that we shared at Capital Markets Day and on our priorities going forward. And I think that should leave us plenty of time to take questions. So let me start with our Q1 financial performance. Our sales came in at EUR 13.8 billion and in currency- and portfolio-adjusted terms, which I'll be using throughout my remarks, that puts us slightly below Q1 of last year. We posted core earnings per share of EUR 2.82, also slightly below prior year. Finally, our free cash flow came in at minus EUR 2.6 billion. This is an improvement over Q1 of last year and is largely driven by lower litigation payouts. Overall, this result is in line with our expectations, and we're reaffirming our 2024 outlook at constant currencies. Wolfgang's going to go through the financial performance in more detail in a few minutes, but I'd like to share a few highlights and some headwinds that we saw in Q1. First, on the highlights. In Crop Science, we outperformed all our peers in terms of sales trajectory in a very challenging market environment. Our global corn platform grew 2% despite declining acreage in North America and Latin America. This growth was bolstered by global price increases, driven by the performance of the 240 new corn hybrids that we deployed last year. In Pharmaceuticals, our launch medicines, Nubeqa and Kerendia, fueled our top line growth. Eylea also posted gains in all regions, and we registered the first sales of Eylea 8 mgs following the initial approvals. In Consumer Health, our dermatology category continued its impressive growth trajectory. A lot of that growth can be traced to innovation and geo expansion. We're now taking that approach to our Digestive Health business as well. I'm encouraged by the great work that I see behind these efforts. As you know, we also have some headwinds to manage. In Crop Science, we saw strong volumes in glyphosate but lower prices hurt our profitability. In the division's core business, we saw lower crop protection volumes, particularly in Europe, Middle East and Africa. In Pharmaceuticals, our team was actually able to manage a slight Xarelto sales increase in Q1, but we're seeing additional pressure from generics in some markets like Canada. Finally, currency effects weighed on our profitability across all 3 divisions, particularly Consumer Health. So while we're certainly never satisfied with declines, given market dynamics, particularly in agriculture, I think we can say that our teams kept their eyes on the ball in Q1. I'm proud of that, and I'm confident in our ability to deliver this year. Beyond those results, a lot happened that didn't immediately show up in our numbers. In March, I highlighted 4 areas that we're focused on to get Bayer back on track. Two months later, we've made progress in each area. On growth and innovation, in Pharma, elinzanetant has consistently delivered positive top line results across all 3 late-stage trials. The first data from the OASIS program will be presented at the annual ACOG meeting this Friday, and our preparations to obtain first market authorizations are running at full steam. Another highlight in the first quarter was the in-licensing of acoramidis from BridgeBio. This is an exciting opportunity for us, and we started preparing ourselves to launch this very important medicine in 2025. Count on more updates from us as we approach the next milestones. In Crop Science, we're building on our leading position. With all of the new innovation we bring to the market, including hundreds of new hybrids and seed varieties as well as several new crop protection formulations, we were able to outperform our peers in the first quarter. Just recently, we signed an agreement with AlphaBio Control. This deal gives us exclusive rights to market the first-ever biological insecticide for arable crops. And in Consumer Health, we introduced Iberogast to the United States last month. We acquired this trusted product in 2013 and have since scaled it to many countries in Europe and beyond. I've even been a customer in the past. Now the tens of millions of Americans who experience occasional issues with their digestive health have the chance to benefit from Iberogast as well. Regarding litigation, about 2 weeks ago, a Washington State Court decided in our favor by completely overturning a $185 million verdict. That's an important win because of its potential implications as the errors that the court identified are relevant for all of the Sky Valley Education Center trials and verdicts. So what happened in this case? First, the court threw out a substantial portion of the key plaintiffs expert's testimony on exposure. That decision impacts both prior and future trials. The court's decision found that, that testimony, I quote, "was unreliable, untested or junk science." Second, the court found that the company was improperly prevented from making an important legal defense argument, a critical error that was repeated in many of the subsequent trials. Plaintiffs will probably appeal the decision. However, we feel strongly that the appellate court's decision on these 2 points is very much in line with the applicable law. Now on to glyphosate. Both inside and outside of the court room, this issue remains at the top of our agenda because it's bigger than just us. Threats to a sustainable supply of glyphosate have huge consequences for our operations, but also for U.S., our agriculture, for food prices and for our planet. Farmers across the United States realize this, and they're concerned. That's why more than 80 groups have joined the Modern Ag Alliance, a coalition who wants to see U.S. agriculture regulated by science-based law, not the litigation industry. Simply put, we want lawmakers to hear the voice of the American farmer. Beyond that, we're looking at new ways to address this threat to our operations, carefully and urgently weighing the best way forward for U.S. farmers, for U.S. consumers, our employees and you. Next, cash. Less than 3 weeks ago at Bayer's Annual Stockholders' Meeting, 99% of voters approved our dividend proposal. We appreciate your overwhelming endorsement of this tough measure. It will help us deleverage and address the financial health of the company. Beyond this decision, Wolfgang will highlight our improved focus on cash conversion in just a few minutes. Finally, let's talk about Dynamic Shared Ownership. I'll say more on the holistic impact on our businesses in the next slide. But for now, I want to focus on the organizational changes we've made. Both our Crop Science and Pharmaceuticals team have already announced the architecture of their new organizations. Julio just took over Consumer Health 2 weeks ago, and they're shaping their organization with speed and focus. We're consolidating roles. We're designing teams for more impact, and we're taking out layers, many layers. Our senior leadership circle is already noticeably smaller than it was a year ago.  In the first quarter alone, we've reduced 1,500 roles, approximately 2/3 of these were management jobs. We have a target of EUR 500 million of sustainable cost savings in 2024 and EUR 2 billion in 2026, and we're focused on delivering. We'll continue to report on this on a quarterly basis so that you're clear on how our organization is progressing. But the most important measure of our impact will be much greater than an FTE number or a cost saving target. Teams in every corner of Bayer are working in the new model. In both North America and Latin America, our 2 largest regions in Crop Science, all of our customer teams are now working in Dynamic Shared Ownership. A significant portion of our manufacturing footprint is already fully operational in DSO, and they're moving at full speed to scale it across the whole network. All in all, this already sums up to more than 250 customer and product teams just in Crop Science. These teams are taking ownership of their work in a completely new way, making faster and better decisions with the grower at the center of their decision-making to advance our business and to innovate. Our Pharmaceuticals division has more than 180 teams up and running, including the teams that are driving growth and market access behind launches like Nubeqa, Kerendia and Eylea 8 mgs. And in Consumer Health, we have more than 90 teams activated all around the world. They're seeing improvements in decision-making, supply capacity and innovation delivery. We're moving at full speed with 10x the number of customer and product teams in just 5 months. And by the end of the year, we will have rolled out DSO to every part of Team Bayer. Well, it's been an eventful start to the year at Bayer. There's a lot of change underway, and that can be distracting for a large organization. But I'm daily inspired by our people's mission commitment and their drive to always deliver a better result. That's why I'm convinced that there are plenty of wins in store for Bayer, both this year and in years to come. Those of you who follow the European soccer progress will know that the company is home to some pretty good role models when it comes to winning right now. Bayer Leverkusen has set the all-time record in any top European league for the most consecutive games without a loss and won the Bundesliga along the way. We're very proud of our colleagues at Bayer 04. Their success shows it, the right team, the right system and a lot of focus and hard work pays off with time. And we're happy to lean on their example as we focus on steering Bayer to a consistent winning performance 1 quarter at a time. In that spirit, before handing over to Wolfgang, let me leave you with some priorities that will shape the next months at Bayer. On the innovation front, you can expect some progress out of our pipelines and our products in launch phase. Our pharmaceuticals team expects to have readouts of Kerendia's first Phase III study in heart failure and Nubeqa's ARANOTE trial very soon. Our Crop Science team is partnering with U.S. farmers on the commercial introduction of our Preceon Smart Corn System, featuring short stature corn, a true game changer with the opportunity to reach more than 220 million acres globally. By the way, 220 million acres is like France plus Germany combined. It's going to be a tremendous impact. The experience that we gain here is very relevant for the broad scale launch of the biotech version of this technology. We anticipate that in 2027. And our Consumer Health team has a focus on increasing launch effectiveness to get the most out of the science, like Iberogast, that we're bringing to the consumer market. So beyond what you see on the slide, we continue to execute on our priorities. A small group of people and myself continue to evaluate our options on the litigation front. We maintain a strong focus on cash generation, hitting our targets and realizing our longer-term ambition. Finally, we have all hands on deck in implementing Dynamic Shared Ownership across all of Team Bayer. Thank you very much. I look forward to your questions in a bit, but now over to Wolfgang for more on our performance.
Wolfgang Nickl: Thank you, Bill, and hello also from my end. I'd like to provide a bit more color on the drivers of our first quarter results. Our financial results came in largely as expected. On a currency- and portfolio-adjusted basis, Q1 sales were slightly below the prior year, down 1%. As reported, however, we saw a 4% decline, driven by about EUR 500 million in foreign exchange headwinds. On earnings, our EBITDA before special items came in at EUR 4.4 billion, which is 1% or about EUR 60 million below the prior quarter. We saw 2 major effects that largely compensated each other: a decline in Crop Science profitability, which is largely a function of lower glyphosate pricing; and a positive reconciliation result, driven by lower long-term incentive provisions. We also saw about EUR 200 million of FX headwinds in our EBITDA before special items. Core earnings per share of EUR 2.82 were EUR 0.30 -- EUR 0.13 or 4% below the prior year period, mainly impacted by higher interest payments and FX effects in the core financial result. The core financial result is in line with our modeling assumptions of around minus EUR 2.3 billion for the full year. Our free cash flow came in at minus EUR 2.6 billion. In line with the crop business cycle, we saw negative cash flow in the first quarter. However, it improved EUR 1.5 billion compared to last year. This was mainly driven by lower litigation-related payouts for PCB, and additionally, the organization is laser-focused on improving earnings conversion into cash and actively managing the working capital of the company. Our Q1 free cash flow includes positive results from our inventory initiatives already. Net financial debt increased to EUR 37.5 billion by the end of Q1, in line with the seasonality of our cash flow profile. The debt level was also impacted by the appreciation of the U.S. dollar. As introduced at the Capital Markets Day, you will find additional information on reported earnings on cash flow and divisional cost lines in the appendix to this presentation. Let's now pivot and look at the divisional performance. When I talk about sales growth, I refer to currency- and portfolio-adjusted figures. Crop Science sales came in at EUR 7.9 billion in the first quarter, down 3% versus the prior year. Our core business declined by 3%, which includes different effects, adverse weather condition, delayed crop protection purchases and competitive pricing pressures, wait on fungicides and other herbicide sales volumes in EMEA. However, we were able to mitigate some of this by the growth in our corn business, which saw 6% average global price increases despite headwinds from declining acres in both Latin and North America. Our glyphosate business recorded a 6% sales decline on the back of lower year-over-year prices, as anticipated. This was nearly offset by a strong volume recovery compared to the prior year quarter. In terms of profitability, EBITDA before special items came in at EUR 2.8 billion and a margin of 36%. The decline versus the prior year was primarily driven by lower prices for our glyphosate-based herbicides. In addition, negative currency effects of approximately EUR 90 million and continued inflationary pressures were recorded. Let's now move on to our Pharmaceuticals business. The division generated sales growth of 4% with volumes up 3% and prices up 1%. Once again, our launch assets performed particularly strong. Additionally, the continued robust development of Eylea and the radiology business helped to more than offset headwinds in parts of our mature portfolio. Nubeqa maintained its growth momentum with gains in all regions, and we are on a good path to treat 70,000 patients and exceed EUR 1 billion in total sales this year. We also recorded significant gains with Kerendia, mainly driven by substantially higher volumes in the United States and in China. Our Eylea franchise continue to grow solidly, thanks to higher volumes and prices. As Bill said earlier, Eylea 8 milligram generated first sales in Q1 following first approvals in Europe and other countries earlier this year. Turning to Xarelto. We registered a slight sales increase following a weak prior year quarter. As expected, the expiration of the compound patent in additional markets such as Canada end of last year triggered generic launches. In Europe, we saw a mixed bag of patent dispute outcomes. Xarelto's once daily patent was confirmed in countries like the Netherlands. In Germany and other European countries, we have seen preliminary injunctions against generic manufacturers. However, we also experienced some setbacks in first instance rulings in the U.K. and also in France, and we will appeal those. We will continue to take vigorous action against any infringement of the European once-daily intake patent until its expiry. Our full year guidance on Xarelto remains intact as we have taken a risk-adjusted approach. Moving to the bottom line. EBITDA before special items increased by 8% to EUR 1.2 billion in Q1. While R&D investments in early-stage clinical development increased, cost for projects in advanced clinical development, such as asundexian's Phase III OCEANIC program, came down. In addition we shifted funding from our mature portfolio to growth investments into our launch products. For the Pharma margins, foreign exchange currencies had a negative impact of about 140 basis points. Moving on to Consumer Health. Here, sales declined by 2% compared to prior year levels. Main reason for that was a 17% decline in our allergy and cold business, which could only be partially compensated by the performance of the other categories. The strength of our brands and innovation enabled us to actively manage prices and balance impacts from price elasticity. However, retailers in the United States continued to optimize their inventory across the industry, leading to declines in volumes. On top of this, we have also been experiencing a very mild cold and flu season. On the positive side, as we further improve supply and availability of key products and start rolling out consumer-benefiting innovations, such as Iberogast in the United States, we will compensate trends seen last quarter. EBITDA before special items came in as expected at EUR 331 million and a margin of 23.1%. Currency effects of EUR 46 million had a negative impact. Thanks to continuous focus on cost and price management, we were largely able to offset the decline in sales and inflation-driven rising costs and higher investments in marketing our innovative products. Now let me now look at the outlook. Based on our latest forecast, we reaffirm our full year outlook at constant currencies. In Crop Science, we are still well-positioned to deliver a fourth consecutive year of growth in our core business and remain within the range as we guided. The key vectors we anticipate for our core business are higher crop protection volumes and pricing in corn; the latter, despite lower planted acres, as I mentioned before. For glyphosate, we expect lower pricing partially mitigated by volume recovery. In Pharmaceuticals, we are still expecting headwinds on Xarelto to increase throughout the year, likely resulting in year-on-year sales declines of the division for the next 3 quarters to come. With the first quarter result, we feel comfortable to deliver on the division's full year guidance for 2024. For Consumer Health, we continue to further improve the supply situation and also focus on driving consumption. In addition, we are launching new innovation to the market. With that, we plan to return to growth again in Q2 and to accelerate growth in the second half of the year. As you can see on the right-hand side of this slide, we have updated our FX estimates based on March-end spot rates. Compared to December-end spot rates, we have seen an appreciation in the U.S. dollar. While this positively impacts our top line, it has a proportionally higher negative effect on our cost positions. Furthermore, and as discussed on many occasions, the portion of our debt denominated in U.S. dollar will see a negative translation impact. At the same time, we have seen depreciation in other currencies, like the Argentinian peso, the Turkish lira and also the Japanese yen, for instance. The current FX estimates consider these latest developments. Sales growth, as reported, remains in the range provided due to offsetting dynamics in the currency basket. At the same time, we now see an increased headwind on EBITDA before special items of minus 4 percentage points compared to about minus 3 percentage points previously. This then also translates down to approximately minus EUR 0.30 FX effect in core earnings per share. We also updated our FX estimates on free cash flow to approximately minus EUR 300 million and net financial debt to about EUR 500 million. Other modeling considerations remain as previously guided, as you can see in the appendix to this presentation. And with that, I would like to close our prepared remarks. And Jost, I hand it back over to you to guide us through the Q&A, please.
Jost Reinhard: Thank you very much, Bill and Wolfgang, for the presentations. We will now start the Q&A session. We also invite Rodrigo, Stefan and Julio, who join us via video today. [Operator Instructions] And the first question today comes from Emily Field from Barclays.
Emily Field: I'll just ask 2. First one just on Xarelto. I was wondering if you could maybe just provide a little bit more color on the regional performance. It was a lot of -- with some of the growth here, volume gains in China following the weaker quarter in the prior year period. And then I believe you referenced some setbacks in France and the U.S. I -- just if you could clarify what that was and if that would've impacted the guidance negatively relative to what was issued at full year. And then secondly, I know you mentioned that free cash flow in the quarter benefited from the timing of litigation payments. Is -- was this primary driver in terms of not raising that guidance for the full year? Because it did come in quite strong relative to our expectations. So perhaps just some thoughts on free cash flow phasing for the year.
William Anderson: Great. Thanks, Emily. Let's see. I think I'll ask Stefan to answer your question about Xarelto regional performance. And then could you just clarify, you said about France and U.S. Were you talking Xarelto specifically or overall?
Emily Field: I'm sorry. I was -- yes. I was just -- in your prepared remarks, I was just wondering -- wanted you to clarify some of the comments that you made relative to some setbacks in the full year guidance, if you could just clarify what you meant there.
William Anderson: Okay. So Stefan, if you can take the Xarelto, and then Wolfgang on the free cash flow.
Stefan Oelrich: So thanks, Emily. So yes, we have quite a mixed bag on Xarelto overall. Let me first start by saying that we're actually quite pleased that Xarelto still, overall, showed some growth in the first quarter. And what we had sort of like anticipated, that we would see at-risk launches in some parts of the world, and that is partially materializing. We're, of course, defending vigorously our intellectual property around the world, and we think that we will ultimately prevail. But we've seen some adverse court decisions in our disfavor, namely in France, where generics have now entered the market at risk. We're appealing the situation, and we'll have a verdict on this one somewhere in the second half of the year. And then we have also some adversity on maintaining validity of our patent in first instance, potentially in some Eastern European countries. But all in all, Xarelto's actually quite solid over the first quarter. If you -- and that includes, by the way, France, where the hit is starting as one would expect post LOE of the [ NC ] patent. And so stay tuned. Giving you much more color is really hard at this point because we'll have to basically wait until the dust settles a little bit at the end of Q2. And I think then we can give a better outlook on what the year is going to look like for Xarelto. But I think it's all well-covered within our overall guidance of Pharma.
Wolfgang Nickl: Okay. Emily, it's Wolfgang. Let me cover your free cash flow question. You're right. Last year, in Q1, the free cash flow was significantly negative, minus EUR 4.1 billion. This year, it was less negative at EUR 2.6 billion. So it's a significant difference. Mind you, the majority of this comes from less settlement payouts. Last year, we had big PCB payouts, which we didn't have this year. So we obviously knew that before we went in the quarter, so that was included in our assumptions. Operationally, we did probably a tad bit better. I mentioned that some of the working capital initiatives are already paying off, in particular, on inventory. That's what we saw in Q1. It's too early, though, to make any adjustments on free cash flow. You see we have given ourselves a pretty wide range for the year. We have also some adverse effects on FX. But we're certainly happy with how we started into the year, and it remains a major focus item to help with the net financial debt position.
Jost Reinhard: Thanks, Wolfgang. For our next question comes from Vincent Andrews from Morgan Stanley.
Vincent Andrews: Rodrigo, wondering if you could talk to us a little bit about how the spring season is playing out United States. It looks like you did get positive pricing in corn. Maybe you could talk a little bit about that. But then also in soybeans, it looks like sales are flat. But in the slides, it seems like the U.S. is down a bit. So is that a function of lower volume? And do you think your volume's going to be down in soy for the full season despite potentially higher soybean acres?
Rodrigo Santos: So thank you very much for the question, and good morning from U.S. here. I appreciate for the opportunity to share a bit more about the Crop Science. Let me just -- before I specifically address your question, I think that we're very confident that we're going to have the fourth consecutive year of growth of the core businesses, as Wolfgang said. And that's very important for us. And we -- as we talk on the Capital Market Day 70 days ago, also when we -- we already planned this year to have a more moderate year than versus last year. So we came from 10% growth, 6%, 7%, and we guide from 1% to 4% on the quarter, driven by the corn price gain that we had but also our crop protection volume. So specifically to your question, what you're seeing in U.S., we are seeing a lower corn planted acres as we planned it and a higher soybean, a very important element of Q1, right? We are in the middle of the season in U.S. We didn't anticipate any sales from Q2 to Q1. I saw some of our competitors reporting that. We don't have an anticipation. Just to give you a concrete example. Our soybean sales in U.S. in April right now is very high. And so we are confident on the plans that we have for the year when we have like the corn growth that we are planning, but also the soybean. Soybean, we came from last year with a 6% growth. We're having the leading position with EUR 2.6 billion. Our -- second company in the market is EUR 1.8 billion, came with 3%. We talked about equillibrium in the market in U.S. specifically, and that's what we are seeing also on the order book. So middle of the season in U.S., we are confident that we're going to have our plans executed, as you heard from Bill and Wolfgang as well. But early start of the year, still a lot of work to do this year, not only for North America, as you asked it, but also EMEA and especially on the second part of the year for the Latin America and Asia. But the plans are in place, and we are confident of what we have for the year. Thank you.
Jost Reinhard: Thanks, Rodrigo. And our next question comes from Pete Verdult from Citibank.
Peter Verdult: Two seconds. Yes, Pete Verdult, Citi, 2 questions. Stefan, for you, just on the key growth drivers, Nubeqa, Kerendia and acoramidis; finance in ARANOTE coming in second half; acoramidis deals signed just around your CMD. Could you -- could I push you to remind us the sort of ballpark contribution to Bayer's EUR 3 billion-plus peak sales guidance for Kerendia, Nubeqa, the finance in ARANOTE might be giving you? I know you can't give any exact number, but ballpark would be helpful. And then also, what you think you can do with acoramidis in Europe? And then just very quickly for Rodrigo, just building on from the previous question. Apart from weather, what are the key swing factors for crop for remainder of the year? And you spent the last few quarters being very clear that unlike your peers, you weren't suffering from destocking in the channels and that's now being called out. So what has changed to make Bayer now call that out as a dynamic to consider for the business?
Stefan Oelrich: Pete, so thanks for the question. So as you already sort of like anticipated, this is going to be hard to give you more than a ballpark here on this one. Nubeqa, obviously we're super pleased. When you take the first quarter, we broke on a 12-month basis, the EUR 1 billion. So this is now a true blockbuster in its own right. So that's going along as good or better than expected. We're seeing, with ARANOTE, more completion on our data side. We're missing in the middle for the metastatic setting in Nubeqa only, so without chemotherapy, and we think that, that really fills an important gap. I know that there are some people out there that are assuming that this will work, but we'll have to confirm it. So it's all on the data. And that will be a key piece on our road to peak sales for Nubeqa. On Kerendia, I've said it in previous quarters, we've been -- I think we've all been a little underwhelmed with the development of the renal market in itself. And we've been disproportionately benefiting when the market was going up, and we've seen this come sort of like to a more stabilizing marketplace. So this is definitely not progressing at a speed that we had wished for. But we see that with the heart failure opportunity, which plays right down to the mode of action of an MRA, that we think that we really have a crucial benefit to offer, always provided that the data plays out. And that will ultimately also allow us to get to peak sales. For acoramidis, we have not guided yet. So give me a little bit of time on this. But I'm looking at data, which looks super promising if I compare it to competition. And competition is now, in Europe alone, north of EUR 1 billion in sales growing fast. So I think we're really coming into this race just at the right time with a very competitive asset and a very competitive commercial footprint. So this is something that I'm really looking forward to, to give you more detail as we go along.
Rodrigo Santos: And let me address the question on Crop Science. And when we planned for the year, of course, there is the impacts of the weather that you very well play out, like what we saw in EMEA especially at the beginning of the year, that is delaying a little bit of the season. And what we're seeing now in the south of Brazil, of course, that is -- I see its impact also for the farmers there. But also when we thought about this year -- and USDA just reported last week, right? So we're going to see this year farmers getting a lower commodity price payout versus previous years. So that's why we saw a moderation for the year. Again, still, the prices are higher than the 10-years average, but it's a moderation versus the last 2 years that we saw in the market. So that's what we planned for, for the full year. And that's why, again, the operational excellence that you mentioned on how we manage our inventory in the channel is helping us to deliver another growth at the core. We're going to see already in Q2, we are planning for low single-digit growth in Q2. And we have the growth also planned for the south hemisphere on the second half of the year, driven by the crop protection volumes. Again, we didn't have any major impact of what you've heard from the market, and you mentioned also the destocking from our competitors. And also our core business in corn and soy comes to Latin America on the second half of the year as well. That will help then [indiscernible] for the year. So it's a more moderate year. We are watching close. That requires a lot of diligent execution this year. We are watching, of course, the weather events that's happening right now. Very dynamic market is typical of Crop Science. We are still watching very close to what's happening in the south of Brazil. And again, in EMEA, on the April-May sales will be an important execution as well. But I just want to reinforce what you said. I am proud about the execution of our organization, on the operational excellence, on how we're managing our business, our core business with the sales in the market. Thank you for the question.
Jost Reinhard: And the next question comes from Richard Vosser from JPMorgan. Richard?
Richard Vosser: Maybe I can just pick up on those comments, Rodrigo, on low single-digit growth in terms of the Crop business for Q2. Just thinking about herbicides outside of glyphosate, very -- quite a weak performance Q1, talking about delayed decision-making. Should we expect a recovery in 2Q? Because you have quite an easy comp last year. So just the low single digit seems a little bit maybe conservative. Then fungicides as well. A recovery in sales in Q2, weak Q1. Should we get a catch-up in Q2 is -- would be a question. So those 2 questions. And then maybe if I can -- because they count as one. Maybe one on reconciliation because it's a little bit dull. Just about the guidance. You've got the long-term incentive plan adjustments in Q1. But why not take the EUR 500 million cost lower for the rest of the year?
Rodrigo Santos: Let me go, and then Wolfgang, I'll pass to you, I guess, right? So just to address your question. I think the key element of Q2 will depend on EMEA, right? So EMEA -- in Europe, we saw this delay of the season because of the water event impacting specifically what you said, right, the herbicides and also the fungicides market, excluding glyphosate. So we're going to see the -- we are seeing April, and we're going to continue to watch Q2. We feel this is the right plan that we have in place right now. We do expect for the full year -- not only EMEA, but the rest of the globe as well, we expect the higher volumes of our crop protection business, right? We are -- we've been very disciplined on managing our inventory on the channel, and we have a good opportunity for the second half of the year as well. And we're going to see, specifically about EMEA, how it will turn on Q2. So that's why we are -- we feel confident about our guidance of 1% to 4% growth of the quarter -- for the year, and we're going to continue to execute on that one. So that's an important. Not only -- you just mentioned, but allow me just to elaborate on the glyphosate that I think is important as well, right? We have a Q1 versus Q1 last year comparisons in terms of pricing. We don't expect that for Q2, Q3 and Q4. I think we had a good guidance for glyphosate for this year. We do expect some volume growth for glyphosate on Q2 comparing to the last year as well. So this will play on the dynamics that we're planning for the second quarter and the full year. Thank you. Wolfgang?
Wolfgang Nickl: Richard, let me cover on the reconciliation, and probably, it's best for everybody on the call to clarify what's all going in there. So the reconciliation consists of cost elements that are just not reasonable to allocate to central cost, for instance, first. Secondly, it includes some of very, very small businesses that are not really material for the overall company. And thirdly, it has technical effects that we record there because it would be very complicated or would blur the picture for the divisions. The latter, too, are where we see the impact in Q1. We guided for all of reconciliation for minus EUR 500 million for the year. So one could assume minus EUR 125 million per quarter. And your question is perfectly fair. If we are at plus EUR 38 million in the first quarter, why doesn't that translate through the whole year? The impact came from the 2 items that I mentioned, LTI and other technical effects. The LTI is highly driven by the share price amongst others. And when we ended the quarter, last quarter, it was at EUR 25 million or so. We hope that it's not there at the end of the year. It's certainly not there today. So that's the only cost pickup that I really like, if it's driven by a share price. The second element relates to some hedging in hyperinflation accounting items that concern, for instance, Argentina, that are time delayed and not reflect on one or the other division. And also there, we have a very highly volatile Argentinian peso. So in short words, it's too early to call it for the year. We like the start of the year, in particular, on the hyperinflation piece. And we'll just go for a little bit longer and then reassess it in Q3 and Q -- we'll give you an update once we feel like it's solidified. I hope this helps you despite little bit longer answer.
Jost Reinhard: And that brings us to the next question, from Joel Jackson from BMO.
Joel Jackson: Can you hear me?
Jost Reinhard: Yes, we can.
Joel Jackson: A couple of questions. I'll ask one by one, maybe first, high level. Can you give us some ideas, that now that you're really moving on the DSO new operating model, what's been a low-hanging fruit? What has been the easiest to implement? What did you learn that maybe could be most challenging? Maybe give us some lessons learned so far early in the process would be helpful.
William Anderson: Yes. Interesting question, and I'll invite my colleagues to offer any insights they have. I think we saw a few things that we said we just know that we can do better, that were sort of simple, like we were doing things like operational audits. And we just said, "Hey, we don't do that." A number of us have worked most of our careers in companies that never heard of such a thing, like having a department that's going and checking whether other departments are doing their job right and -- which is different than an audit for fraud or compliance and so things like that. We had a large strategy group. And we said, "Hey, we think in our new model, strategy is the job of everyone in the company." If you're supporting a customer, the strategy with the customer is your job. If you're developing products, that's your job. We don't need a separate department doing that. And so there were a few things like that. I think probably the -- maybe some of the other stories, I'd turn to our colleagues. Anybody -- looking at division heads. What low-hanging fruit have you guys seen?
Rodrigo Santos: I can start here, Bill. So that's a great question because we just talked a lot about that in the Capital Market Day 70 days ago. We are on this full execution. That's my key message here. So we -- in Crop Science, we architect the operation model that really applies for that is highly focused on the product teams and the customer-facing teams. You heard before, we are just now implementing all the customer teams in the Americas, and we are moving now to EMEA and Asia in Q2. By Q3, we're going to have more than 450 customer-facing squads operating with our farmers. We're going to have our product supply, R&D organization and a significant part of our enabling functions as well. So we are in the full execution of that. I think one of the key aspects that I would say I would like to highlight as you asked about lesson learned is how we are very focused on how we get more customer-facing time, more quality service to our customers and more innovation. If you take the R&D design, it was highly focused on free up resources and highly deliver more innovation to our organization. So execution mode right now, a lot of work, and you're going to hear much more in 90 days from now, I'm sure. But Stefan, I'll pass the ball to you.
Stefan Oelrich: Yes. Thanks, Rodrigo. So just to piggyback on that a little bit. I think what we've seen, Joel, and this is not exactly your question, but maybe answers it to some degree. I think we've all been surprised by the speed and the enthusiasm that comes with the implementation of the system, because going after a much more customer and product-centric organization model is something that resonates easily with a lot of the folks inside of the company. And so in our customer-facing units in Pharma, where we've implemented like in the U.S., I think we've seen that there were no big obstacles in implementation. And truth be told, in Pharma, you typically do a field force realignments on a quite -- on a periodical basis. So that's not the sort of like the holding us back. It's the way how we do things with faster decision-making, with delegating decision-making, power more to the customer-facing unit itself. So I think that's going well. In other countries, where it's maybe going a little slower, that has to do with local regulations that require a lot of consultations before we implement. But again, nothing out of the ordinary. I think where the bigger change comes is in how we organize and structure our global units where we now, what we call, tilt the pyramid and move from a very functional, lead-driven hierarchy to a more product-centric organization for Pharma. This means we're building dozens of speedboats, and we're using a little bit our biotech acquisitions that we kept at arm's length and then we ran quite independently. We're using them as blueprints to run this into our large products and our large priorities, but also the smaller ones in development or the, let's say, foundational products and run them really like micro enterprises. I think that's something that I'm really curious to see if it will translate into picking up speed, into creating this ownership. And ownership comes with -- 2 sides of that coin is more freedom to act, but also more responsibility and accountability for results. So something that I can see a lot of excitement around and -- but also some disruption because it brings change to our organization.
Julio Triana: Stefan, maybe -- and the guys, if I can just add one example from Consumer Health. So basically along the lines of what my colleagues mentioned, in Consumer Health, we, today, have launched about 90 teams in term -- between customer teams and product teams across the world. But let me just highlight an example. We have -- in ASEAN, in this region, we are very indexed in nutritionals. So a large part of our portfolio is in nutritionals. And the team wanted to see if they could diversify and able to bring some of the other brands we have that are being successful in other parts of the world into ASEAN. So we allowed the team to take a look at what are the options locally. And what they came up with actually was that negotiating with a local contract manufacturing operation, they were able to reduce the amount of launching cosmetic products like Bepanthen and also Claritin. They brought this down from 36 months to about 9 months. Now the power of that is not only what happened in ASEAN, but the scalability that we can do with these type of approaches across the world. So just to give you another example of how we are leveraging DSO. Hope that helps.
William Anderson: Thanks, guys. You asked what's hardest, and I would say one of the things that -- well, maybe 2 examples of things that takes a little more effort. So with some of our enabling functions, it's very hard to redesign the enabling function until you know what the architecture is of the business that you're trying to support. So we've got people that are raring to go and they're really excited to do it, but it's sort of like, oh, we need a little more information from the businesses as to what exactly is going to be the best way to support their new architecture. So that would be one example. Another example is the setup we're going with, it requires, for example, a lot of peer feedback and peer evaluation. Because if you're moving from, say, a span of control of 5, 6, 7 to what we call span of coaching, which can be up to one manager for 20 or even 30 people, then you can't do things the old way. It can't be that the manager is writing performance assessments for 30 people. I mean that just -- that breaks down. And so you actually need systems to collect data from peers and to provide sort of summaries and things like that. And so we're working towards that, but you don't create a system like that for a company with close to 100,000 people in weeks. That takes a little longer. So those are examples of some of the things that are a little more work.
Joel Jackson: Okay. To ask my second question, this is probably for Rodrigo. From the outside, it looks like it's been very quiet on dicamba after what's happened a few months ago. Maybe you can share what you think has -- so what kind of discussions you're happening -- sorry, what kind of discussions are you having? What's the path forward to try to get dicamba back to normal for next year? And then all this is going on, you have to -- you have your strategy, what kind of seeds you grow with what traits and how do you have your contract grows, where do they grow. And have you changed anything looking forward into the -- this year's growing season for next year's sales? Like maybe tell us what's going on internally and externally that can get this sort of back to normal, whatever that means.
Rodrigo Santos: That's an important one. Thank you for making that question. Quite externally, a lot of work internally, I would say. We are working a lot with the EPA. We submitted the -- a new herbicide. It's now public that we are requesting the approval for the new herbicide that has pre-applications of soybean. It has a different approach for cotton as well. So fully working with EPA for the next season, as we said, a lot of support from the farmers community. I don't need to emphasize the importance of that and the farmers sharing the importance of that system coming earlier for that one. Of course, we are working on that one. We have also plans in place on what we are -- the production, as you mentioned, some other plants that we have to tackle the next season. This will be important for Q4 of this year, but mainly, mainly for 2025, right? And that's exactly what we said. So we are confident on the plan that we have working with EPA to get the registration of this new herbicides and to provide that to the farmers for the next season. So a lot of work going on right now in parallel, a lot of work in terms of order plans that we have in place for the next season. And probably Q2 or Q3, we're going to come up with much more details on that one. But a lot of work happening right now while we speak here. Thank you.
Jost Reinhard: Thanks, Rodrigo. So we have 2 more raised hands in the chat, and the first one is Florent Cespedes from Societe Generale (sic) [ Sanford Bernstein ].
Florent Cespedes: Florent Cespedes from Bernstein. Two quick ones, first for Stefan. Could you give us a little bit more color on the dynamic beyond Eylea? Is it mainly the new formulation? And some color on the dynamic on the main territories would be great. My second question, on Consumer for Julio. Could we have more color on the dynamic for the rest of the year in terms of inventories? You said there will be new products. So if you could give more color by the main businesses, that would be great.
William Anderson: So Stefan, you can address the Eylea sort of outlook. And I wasn't clear for -- on the inventories, were you talking about in Pharma or...
Jost Reinhard: Consumer Health.
William Anderson: Consumer Health, okay. Got it.
Florent Cespedes: Excuse me, it's Consumer, Consumer.
William Anderson: Understood. Thank you. Thank you. Go ahead, Stefan.
Stefan Oelrich: So thanks, Florent. Yes, we're very happy with what we're seeing with Eylea and across most of our territories. And the 8 milligrams doesn't even really play a major role yet in any of our territories. We've introduced this in Germany, and so this is going to be a gradual launch as we clear market access hurdles around the world. So far, so good, by the way, on that front. What we're seeing is that we have been not so much hit by competitor entry in the space. So we've been continuing to increase both -- especially in volumes, and also maintain price across Eylea franchise pretty much around the world with some negatives, but overall, very positive. And what we're seeing is that competition mostly takes away share from Lucentis and much less so from Eylea. Again, there are very few exceptions that confirm that rule, but overall, a positive picture. And we think that with the 8 mgs, we're going to have an even more favorable dynamic, so stay tuned how this works out pricing-wise. You know that we have assumed parity pricing to the low dose, so to the 2 milligrams of Eylea. Hopefully, we can even surprise a little positively on that side. So all in all, it looks rather encouraging, at least for what we see from the first quarter. Thank you, Florent.
William Anderson: Julio?
Julio Triana: Okay. Florent, in the -- yes, Florent. Thank you so much for the question. And I'll just keep it short because we're coming to the end of the call. So we remain confident on our outlook for the rest of the year. As you know, we guided that we would be between 3% and 6% cpa growth for the entire year, and our EBITDA margin will continue to be at around 23% to 24%. So we keep our guidance intact. The supply situation is improving as we progress into the year. The innovation launches are going well. For example, our launch of Iberogast in the U.S., with this, we have been able to almost double the size of the product between -- in Q1 of last year and this quarter. The other topic that you mentioned about the inventories, you probably saw it from our competitors. Pretty much everyone is sort of normalizing the levels of inventory after the COVID pandemic. We expect that the same impact will -- that we saw in Q1 will remain for Q2. But in the second half of the year, this will normalize, and that is included in our -- confirming the guidance. And overall, we believe that we are in good shape. We should be able to do that. We're focusing on driving consumption across the world, but especially in North America. And we will continue to gain market share in the key products that we have across the world. I hope that helps, Florent.
Jost Reinhard: And with that, we come to the last question from Sachin Jain from Bank of America.
Sachin Jain: Sachin Jain from Bank of America. It's a big-picture question on litigation. So Bill, thanks for your introductory comments on the progress. I was just trying to get a sense of the high-level expected next news flow in both PCB and glyphosate. So specific questions on PCB, do you have any timelines the applicability of the Erickson appeal victory to the broader litigation? And are there any further appeal decisions in Sky Valley that will influence either positively or negatively? And then on glyphosate, I wonder if you could just touch on the Missouri State decisions on labeling and whether you still believe, separately, there's a path to a split circuit.
William Anderson: Great. So maybe I'll take the second one first, and then I'll let Wolfgang comment on PCBs. So let's see, the impacts, so we're pursuing a number of approaches simultaneously, Sachin, and we're not sure which of these is going to be most impactful. We suspect it'll probably be a combination of them. And so this includes continuing very -- yes, very forcefully with the litigation, defending our -- yes, the actions we've taken and our -- and the safety of our product. We have the makings of a circuit split. In the Carson case, that sort of played out at the appeals. But we have another case that's working it through another circuit. And so if those come out in different places, then we have a circuit split and that offers an opportunity for further escalation. That could be very important. At the same time, we're very active in the communications realm. This is talking to farming groups and other concerned, yes, groups and individuals in the U.S. And that's resulted in a lot more attention in the last 90 days than we've had at any point in the last few years, including movement in statehouses in 3 states. And in fact, we passed at least one House of the legislature in both Iowa and Missouri. It's still ongoing in Missouri, but this is for legislation that would clarify that the EPA label is the label for the land and to kind of reaffirm the -- yes, the place of a single label and label clarity, which we think is very important for farmers. It's important for Bayer on glyphosate, but it's also important for the future of innovation in agriculture. And we know that legislative solutions are not usually quick in coming, but we feel like it's the right thing to pursue. And we will see how long it takes and when we could get such progress. But there's also a farm bill at the U.S. level that would cover all of the U.S., and that's another approach. Whether that'll happen this year or not, that's a little harder to call. So that's some of the things that are going on, on the glyphosate side. And maybe Wolfgang, if you want to comment about PCBs?
Wolfgang Nickl: PCB is short because we had it already in the prepared remarks, Sachin. First of all, let me reiterate, we always talked about Erickson in the last 3, 4, 5 calls. Now we got it, and it's very favorable. You may recall that in that school district we had 9 cases tried and with 8 with adverse verdicts against us. And there's a very solid cross rate of the findings of the appeals courts into the other cases. So I think that's positive. Schedules, timelines are difficult because courts schedule cases and then they reschedule them. For now, we only see 2 cases on the roster for this year. One is in Sky Valley. We'll see how that goes. And then there was another with one of the dropout cities in the class that we settled, and that's also in the summer. But we'll have to see how that goes. For now, we're happy with the outcome in the Erickson case. Thanks for your question.
Jost Reinhard: Great. And with that, we conclude our Q&A session and the call for today. Thank you for your time and interest, and have a great day.